Operator: Good afternoon. And welcome to the Q2 WK Kellogg Company Earnings Conference Call. Today’s call is scheduled to last one hour, including remarks by management and then a question-and-answer session. All lines have been placed on mute to prevent any background noise. [Operator Instructions] I would now like to hand the conference over to Karen Duke, Vice President of Finance and Investor Relations. Thank you. Please go ahead.
Karen Duke: Thank you, Operator. Good morning. And thank you for joining us today for a review of our second quarter results. I’m joined this morning by Gary Pilnick, our Chairman and Chief Executive Officer; and Dave McKinstray, our Chief Financial Officer. Slide #2 shows our forward-looking statements disclaimer. As you are aware, certain statements made today, such as projections for the company’s future performance, are forward-looking statements. Actual results could differ materially from those projected. For further information concerning factors that could cause these results to differ, please refer to the factors listed on the disclaimer slide, as well as those in our SEC filings, including the risk factor section. As we discuss our results today, unless noted as reported, we’ll be referencing the respective non-GAAP financial measure, which adjusts for certain items included in our GAAP results. For periods prior to the spinoff, results are presented on a standalone basis. For periods after the spinoff, results are presented on and referred to on an adjusted basis and compared to our 2023 standalone adjusted results. You can find definitions of each non-GAAP measure and GAAP to non-GAAP reconciliation within our earnings release and in the appendix to the slide presentation. I will now turn the call over to Gary.
Gary Pilnick: Thanks, Karen, and good morning, everyone. Thank you for joining our second quarter call. Today, I will discuss our financial results, in-market business performance and the announcement we made this morning regarding actions we are taking to advance our strategic priority to modernize our supply chain. I will provide detail regarding the scope of our investments, as well as how these actions are expected to make us a stronger, more reliable and more agile company into the future. I will then turn the call over to our Chief Financial Officer, Dave McKinstray, who will provide additional detail on our Q2 performance and our supply chain modernization efforts. We’ll close out the call with time for Q&A. What you will hear today is that we are delivering results and are on track for the year, even in light of the ongoing impact of inflation, which has led consumers to become more value-conscious, creating a challenging business environment. Looking at Slide 4, you can see our financial results. Today, we reaffirmed net sales and EBITDA guidance and now expect net sales for the year to be at the lower end of our guidance range. For the quarter, net sales declined 2.7%, broadly in line with our expectations and we delivered gross margin of 30%, which is a sequential improvement versus Q1, and one of the highest levels of gross margin achieved by this business in years. Our meaningful margin improvement continues to be driven by our emphasis on operational discipline across the enterprise, a key benefit of being a more focused company. It’s important to note that we have improved our margin while at the same time increasing investment. We continue to be choiceful and targeted about these investments and remain focused on driving ROI. EBITDA margin was 11.6% in the quarter. Despite the decline in net sales, we were able to improve upon our Q1 performance. This demonstrates our team’s strong execution and the resiliency of our business to improve our profitability. As we previously mentioned, in Q2 of 2023, we received one-time $16 million insurance proceeds related to the fire at our Memphis plant. Excluding the impact of that benefit, both gross margin and EBITDA margin improved more than 100 basis points year-over-year. Overall, our first half net sales and EBITDA performance has us on track for the year. While we expect the challenging business environment to persist, these market dynamics emerged and impacted our business in the second half of 2023. So we will begin to lap that impact in the back half. Importantly, we are excited about our plans in the back half of the year, including back-to-school, as well as the ongoing benefits associated with leveraging our transforming marketing, sales and supply chain capabilities that are maturing every day. Given these dynamics, we expect volume to sequentially improve in the back half. Let’s turn to Slide 5 to discuss the category and how our portfolio performed in the quarter. The U.S. cereal category, as measured by Nielsen xAOC, declined 2% in the quarter and is down 1.1% year-to-date, with volume declining low single digits. As expected in this environment, consumers are more discerning and trends continue to skew towards value-oriented channels, which are delivering year-to-date dollar growth. This year, the majority of our portfolio has performed better or in line with the category. Nine of 11 brands are gaining or holding share year-to-date, with Frosted Flakes and Raisin Bran delivering dollar sales growth. Our overall performance is lagging the category, largely due to challenges in Special K, one of our largest brands, as well as Bear Naked. Despite these headwinds, we are maintaining our U.S. share at 27.6% year-to-date, which has remained consistent from Q4 of 2023, when we first launched as an independent company. Our volume in the quarter was impacted by the challenged business environment and our PPA transition. On a unit basis, our volume is closer to flat in the quarter. In Canada, our team delivered another quarter of excellent performance and again grew share, extending our market-leading position. Year-to-date, our share position improved 160 basis points to 39%, led by the performance of our three largest brands in Canada, Mini-Wheats, Frosted Flakes and Raisin Bran. On Page 6, you can see the performance of our U.S. portfolio. Our business is more easily understood if you look at it as follows. Our Core 6, the Next Core, and Natural & Organic. Our Core 6 represents approximately 70% of our sales and includes our six largest brands, which are depicted on the slide. The Next Core contains iconic brands like Corn Flakes, Corn Pops and Apple Jacks. And finally, Natural & Organic is represented by Kashi and Bear Naked. Year-to-date, our Core 6 has benefited from the performance of Frosted Flakes, Raisin Bran and Rice Krispies, with share gains from both Frosted Flakes and Raisin Bran. Special K has been challenged. We are lapping a large innovation set, resulting in lost TDPs and lower merchandising activity this year, which was further amplified by having less innovation in 2024. We’re also lapping a large customer-specific activation in Q2. This resulted in share declining 40 basis points year-to-date. The team is responding to improve our performance and has new commercial activations underway. We recently launched a campaign called Special for a Reason, created through our new marketing model, where we utilize digital assets and social platforms to drive increased relevancy. This new campaign highlights what makes this brand so special. Special K has a variety of delicious foods, designed with a variety of specific nutritional benefits targeted to specific consumer cohorts. Our commercial team is also being agile and delivered a bold collaboration with celebrity chef Molly Baz, launching a new campaign in less than two weeks that received more than a 1 billion impressions. We have more work to do, and it will take time, but this is a good example of being a focused business, which allows us to identify issues and opportunities and act quickly in an end-to-end matter. Excluding Special K, our Core 6 is up 10 basis points of share and grew dollar sales modestly year-to-date. Moving to our Next Core, year-to-date, these brands have gained share due to a mix of TDP and display increases across the group, led by the performance of Corn Flakes and Corn Pops, each growing more than 600 basis points ahead of the market. Finally, our Kashi and Bare Naked brands participate in a growing segment of the cereal category. As we mentioned previously, these brands were managed separately pre-spin. Year-to-date, the N&O category has dollar sales growth of 7%, including 2% volume growth. That said, we have not yet participated in that growth. Kashi has had approximately flat dollar sales and our performance in Bare Naked continues to be impacted by lost TDPs stemming from our Granola-related supply chain challenges, which we are in the process of addressing. You can see very early signs of improvement in the market data. We know these brands and their positioning have great promise, and the team is excited to drive innovation, refresh marketing, reliable supply and in-market execution. Slide 7 is the strategy slide we have discussed in the past. We have shared this before and spoke of the benefits of being a focused and integrated company. Today, we will focus on investment and how we plan to advance our strategic priority of modernizing our supply chain. Now let’s turn to Slide 8. When we introduced our strategy at Investor Day in August of last year, we spoke to you about investing $450 million to $500 million in our manufacturing network, targeting EBITDA margin expansion of approximately 500 basis points, resulting in expected EBITDA margin growth from 9% to approximately 14% as we exit 2026. We also noted that modernizing our supply chain would be the centerpiece of our margin improvement plan. As you have seen in our performance, we are already making progress. Today, we are advancing our supply chain modernization initiative by announcing the specific details of our capital investment. Importantly, each financial detail is the same as we spoke about at Investor Day. This is a significant step in our journey as we continue to prioritize investments and consolidate production to ensure we have a reliable, resilient, efficient, and agile supply chain, and importantly, ensuring our business has the appropriate margin structure to compete effectively. Of the $450 million to $500 million spend, we plan to invest capital of up to $390 million in new equipment and infrastructure to increase production at our newer, more efficient plants, and we expect to incur approximately $110 million of cash one-time cost to execute the initiative. We are prioritizing and investing in more agile and efficient platforms and reducing our reliance on older, more rigid and higher cost platforms. By doing so, we plan to consolidate our overall network footprint, which would drive improved operating efficiency. We plan to close one of the oldest facilities in our network, where we have aging infrastructure, older platforms and less efficient building configuration. In addition, we no longer make the rice for Rice Krispies Treats since the spin. As a consequence, we are reducing production at another facility as we consolidate our rice production. Production would begin to move in late 2025 in both facilities, with completion expected in late 2026. These are necessary decisions made with thoughtful consideration to ensure our supply chain network is more reliable and allows WK to thrive into the future, and they are challenging as well as they affect our WK people. We recognize and appreciate the tremendous contributions of our WK teams at these facilities over the years and we will ensure our employees are fully supported through the transition. I’ll now hand it over to Dave, who will provide more details on our Q2 results and our supply chain investment.
Dave McKinstray: Thank you, Gary. As a reminder, due to the spin, our second quarter results and future 2024 results are based on a comparison to our 2023 standalone adjusted results, which exclude intercompany sales and royalty arrangements with Kellanova that ceased to exist upon the spinoff. Today, our results are presented and referred to on an adjusted basis. We believe this provides the best comparable for our business. Further detail of these measures and reconciliations have been provided in today’s press release and the appendix to this presentation. Now, looking at our results on Slide 10, you will see that net sales for the second quarter were $672 million, a 2.7% decline versus the prior year period. Price realization for WK was positive 2.1%, offset by volume decline of 4.8%. Volume decline this quarter is due to weaker than expected Special K consumption in our PPA transition. Our portfolio performance is highlighted by Frosted Flakes and Raisin Bran, which benefited from targeted brand investment and innovation. Each grew more than 300 basis points ahead of the market and are the fastest growing top 10 brands in the category as measured by Nielsen xAOC. EBITDA for the second quarter was $78 million, an 11.4% decline versus the prior year quarter, driven by the lapping of the $16 million one-time insurance proceeds. Excluding this impact, EBITDA increased more than 8% versus last year. Our performance is driven by productivity gains, slightly offset by targeted commercial investments within the quarter. Turning to our year-to-date results, net sales declined 1.7% versus the prior year period, which reflects the partial year impact of lapping our last price increase. Year-to-date EBITDA of $153 million increased 1.3% versus the prior year period. Excluding the impact of the insurance proceeds, EBITDA increased 13%, reflecting our improved supply chain operations. Turning to Slide 11, I will now focus on our operational highlights. Gross margin for the second quarter was 30%, a 100-basis-point decline versus the prior year. Excluding the insurance proceeds, gross margin expanded over 100 basis points. Our underlying improvement is the direct result of our end-to-end focus and sustained improvements in our supply chain operations, including ongoing waste reductions. EBITDA margin Q2 was 11.6%, a 110-basis-point decline versus last year. Excluding the insurance proceeds, EBITDA margin improved over 100 basis points. This performance is a result of flow-through from operational improvement. Looking at the below-the-line items, interest expense in Q2 was $8 million and other income was $4 million, both in line with our full-year expectations. Our reported tax rate for the second quarter was 26.8%, and as a reminder, for 2024, we expect our full year tax rate to be approximately 25%. As we step back, the business is performing largely as we expected and the underlying profitability momentum is offsetting topline headwinds, allowing us to maintain investment to drive ROI. We feel confident in our ability to offer the consumer the right product at the right price in the right place through our PPA and target investments, all of which is enabled by our improved supply position. Looking at Slide 12, you can see our improved profitability. Our topline has been stable, which has been enabled by our improved supply reliability, which is fundamental to delivering our margin improvement. On gross margin, we have delivered consistent improvement due to the sustained productivity improvements within our supply chain operations. In Q2, we surpassed our strong performance in the first quarter. Finally, looking at EBITDA margin, we have maintained operational discipline and our gross margin improvements are flowing through to our profitability. The overall shape of our year is weighted towards the first half. Remember, Q3 is typically the period of our heaviest brand building, where we execute back-to-school. In Q4, it’s historically the lowest volume quarter for us and the category is retailer shift to general merchandise for the holiday season. We are executing our strategy, and the early productivity achievements within our supply chain operations have yielded a positive impact on both the topline and profitability. Our year-to-date results put us on track to deliver our 2024 EBITDA guidance, and ultimately, our first horizon goal of approximately 14% EBITDA margin as we exit 2026. Now, let’s review the details of our supply chain announcement on Slide 13. As Gary mentioned, we told you last August that WK was an approximately 9% EBITDA margin business. We also told you that our long-term goal was to expand EBITDA margins approximately 500 basis points as we exit 2026, more in line with our mid-cap, center or store peers. The centerpiece of this margin expansion would be driven by our investment to modernize our supply chain, which included a cumulative cash outlay of $450 million to $500 million. As you heard, we plan to close one plant and streamline another. The expected net headcount reduction associated with that planned network consolidation is approximately 550 people. Importantly, that number includes the estimated headcount additions at the plants where we would add capacity and increase production. We expect production will begin to move in late 2025, with completion in late 2026. From a cost perspective, there are two cash components. First, capital expenditure. We anticipate this to be up to $390 million and we expect cash outflow in 2024 to be approximately $40 million, with the rest of the spend occurring in 2025 and 2026. Second, cash one-time costs related to the startup and new lines, severance and other one-time costs are expected to be approximately $110 million. Related to these costs, we expect approximately $5 million of cash outlay in 2024, with spend increasing progressively through 2025 and 2026, with a small residual amount in 2027. Adding these two cash components together, we expect a total cash outlay related to the initiative to be up to $500 million, with approximately $45 million in 2024, approximately $200 million in 2025, and most of the remainder in 2026, and a residual amount in 2027. In addition to the cash outlay, we expect to incur non-cash charges related predominantly to asset write-offs of up to $190 million, largely resulting from the plan plant closure. We’ll continue to provide updates on the timing of the spend as the initiative progresses. On Slide 14, it shows our second quarter net debt position. We ended the second quarter with $491 million of debt and cash equivalents of $44 million, resulting in net debt of $447 million, an increase of $23 million versus last quarter. This increase was driven by the planned investments to stand up the company and exit TSA agreements. We now expect full-year cash flow impact related to standing up the company and exiting our TSA agreements to be approximately $60 million in 2024 versus $80 million previously estimated. This initiative is still on track to spend $125 million as originally estimated. This is purely a timing shift into 2025. Recall we had previously communicated that free cash flow would be slightly negative this year, excluding the impact of the supply chain initiative. Incorporating the supply chain initiative into our full year 2024 view of free cash flow, we now expect to have negative free cash flow of approximately $50 million. Year-to-date, free cash flow is negative $10 million. Based on the time of our supply chain related cash outlays, we expect net debt to peak at approximately 3 times adjusted EBITDA in early 2026. Looking now at our guidance on Slide 15, today we are reaffirming our 2024 net sales and EBITDA guidance, and we now expect net sales to be at the lower end of our range. We expect sequential volume improvement in the second half driven by increased commercial activation enabled by improved supply. We are beginning to lap the challenging business environment in the second half. And in Q4, we also expect to lap some one-time costs within net sales that we estimate to be worth approximately a point of growth within the quarter. We expect EBITDA growth in the range of 3% to 5%, which reflects dollar delivery of between $265 million and $270 million. Importantly, recall this EBITDA growth includes lapping the benefit of the insurance proceeds, which impacted the shape of our first half profit growth. And as a reminder, Q3 is typically a lower EBITDA quarter due to higher brand building spend in the quarter, resulting in a lower EBITDA margin. These dynamics mean our total profit delivery is front half-weighted while our profit growth is back half-weighted. And now, I’ll hand it back over to Gary to close out the call.
Gary Pilnick: We are six months into the year and we’re executing our strategy, delivering results, and investing for the future. Despite a difficult business environment, we are on track for the year and delivering improved margins. And today, we announced the blueprint for advancing our supply chain initiative, an important step in our journey to establishing the foundation from which we will build. And we look forward to sharing more updates with you in the future. We are excited about the progress we’re making transforming this business from marketing to sales to supply chain. One of our cultural pillars is to create and act boldly. We hope you are seeing that mindset coming through. I would like to thank our people for all we’ve accomplished together since we first introduced ourselves last August. I will now open the call to Q&A.
Operator: Thank you. [Operator Instructions] And our first question today is from the line of Kenneth Goldman of JPMorgan. Please go ahead. Your line is open.
Kenneth Goldman: Hi. Good morning and thank you.
Gary Pilnick: Good morning, Ken.
Kenneth Goldman: I want to ask you -- hi. Obviously, you’re not the only food company to feel a little bit of challenge from the current consumer environment. But I wanted to ask, in light of that, given your guidance for sales growth to be flat from 2024 to 2026, no one has a crystal ball, of course, but is there any chance or how do you guys think about sort of the timeline to getting back to flat sales growth? I mean, you did talk about improvement in volumes in the back half of this year, but is it reasonable to kind of still think about flattish sales growth into 2025, I guess, just given some of the challenges that everyone in food is facing right now?
Gary Pilnick: No. I think, appreciate that, Ken. The way we look at it is the business is largely performing as we thought it might. As we entered the year, we were beginning to see the challenging consumer environment that certainly accelerated in the front half, but we were able to reaffirm our financial guidance for the year. When you talk about going forward, you can already see our confidence and our ability to change the trajectory of our volume and sales by being able to reaffirm our guidance. We said in the prepared remarks, we are going to see sequential improvement in the back half in both volume and sales. So in the front half, nine of our 11 biggest brands are performing with or better than the category. We’re very pleased with those activations. We’re looking for the right returns in this environment. That’s particularly important. But we think you start to see that in the back half, and that would be our view going forward as well, Ken.
Dave McKinstray: And Ken, one small dynamic I’d add there is, if you look at volume, one thing to keep in mind is, and we mentioned in the prepared remarks PPA, and we’ve talked about RGM in the past and wanting to continue to realize price, and we’re continuing to do that in the market. One metric we’re also looking at is units. So as you’re looking at the market data, I’d encourage you to also look at units and how they’re progressing. We’ve seen them continue to trend higher. In fact, in the most recent data, we’ve actually seen units turn positive.
Kenneth Goldman: Understood. Thank you for that color. And then for a follow-up, I appreciate the commentary and the efforts on Special K. It certainly sounds like there’s some interesting new commercial activation underway. I guess my question would be, this brand has been a drag on the business for really as long as I can remember, and there have been lots of different efforts over the years from you and the Kellogg Company previously to fix it in a lot of different ways. I’m just curious, is there anything really differentiated that you’re doing now that hasn’t been tried before, just in light of some of the challenges that the brand has had and the efforts that have been made in the past? Thank you.
Gary Pilnick: When we think about Special K, that’s part of the nine of the 11. So the nine growing at or with the category, or better than the category. The other two were Special K, as you said, one of our largest brands. When you take a step back, let’s sort of zoom into this year, Ken, and then we’ll zoom out again if you don’t mind. But this year in particular, we had a slower start to the year. We had less activation this year compared to a big activation last year. Just to give you a little bit of color there, in our innovation set, we had six launches last year to two this year. So that made a big difference as we started the year. And then we lapped a specific customer activation in Q2. Now, you’re asking, well, tell me more about the brand. We now have the full force of our integrated commercial team focused on this brand. We’re doing that with Frosted Flakes and Raisin Bran, and you see the improvements there. We’re confident in the ability of this team, now that we’re a cereal-only company, to be focused on that. Now, in terms of the brand itself, Special for a Reason, actually gives you something, some insight into the actual brand. It has a variety of foods, variety of nutritional benefits. And now we have a campaign that gets the target cohorts in a specific way to get them, to get the message to them as to what they’re actually looking for in our foods. An interesting thing about the brand is, and we’re also in premium, it tells you about the relevancy of the brand. Special K Zero doing very nicely, a good example of a nutritional benefit to a specific cohort that is working even on the premium side. And you’re right, there’s work to be done. The team is on it. We believe we have the team to do something special with Special K.
Kenneth Goldman: Great. Thank you.
Operator: Our next question today is from the line of David Palmer of Evercore ISI. Please go ahead. Your line is now open.
David Palmer: Thanks. Good morning. I really have a question about market share and I think that the interplay of that with promotion spending and gross margin in particular. So I’m wondering how you’re thinking about what is going to happen in market share trend. Do you think that those, you’ll be able to stabilize market share in the second half and to what degree will that involve promotion spending? And in particular, how are you thinking about your gross margin in the second half?
Gary Pilnick: Thanks for that. A couple of things about that. Let’s first talk about market share. If you take a look at our market share performance, it has been quite stable since we’ve spun. We came out of last year around a 27.6% and we’ve hovered around that number each quarter since then. So it’s stable. We would expect to see as sequential improvement as we move forward, because that should move along with our sequential improvement in volume, as well as our topline. Now you talked a little bit about promotion as well and how we’re thinking about that. We like the way we’re executing our promotional plan. The key thing about promotion is, it’s part of the equation when you’re trying to drive value for your consumer. It’s certainly an important part, but if it’s just price, you’re probably not going to get where you need to get to as a branded player. It needs to have an idea, you need to commercialize it with a campaign, maybe a collaboration with a partnership. Essentially what I’m doing is describing what we’ve done with Frosted Flakes. When you pull all that together, you get the lifts you’re looking for, you’re looking for, you get volume growth, you get sales growth as well. So we like where we are with our promotional plan. In our back half, we have the fuel that we need. A key thing that we do is we’re always looking at returns. We want targeted investment. We want to make sure we’re targeting the right brands and the right channels to the right customers and consumers to make sure we’re getting the lifts we want. But for us, we like what we’re doing in the front half, we like the plan we have in the back half, we’re excited about that and we have the fuel that we need. And I say that, you mentioned gross margin as well. We’re very pleased with our gross margin performance. We were able to invest more and still deliver 30% gross margin. This business hasn’t seen that in a while. It shows you the power of focus and discipline we have in the organization. David, do you want to follow up?
David Palmer: Thank you. And how are you…
Dave McKinstray: Yeah. And I think just -- sorry, David, just on your question on the gross margin for back half and some of the sequencing, if you will, of the P&L or the shape of the P&L. I would say if you look at our first half gross margin delivery, you can kind of pencil that into the back half. Now, if you look at the slide, we had the slide in the prepared remarks of the overall shape of our margin trajectory. And then I remind you for the back half, if you think about EBITDA margin, our shape will look similar to that. Q3 would be kind of our EBITDA growth will be in line with our annual guidance. For Q4, remember, we are lapping the incentive comp in Q4. So maybe a little bit of a higher growth in Q4 versus Q3, but that’ll just kind of give you an idea of how to shape the rest of the year.
David Palmer: That’s all very helpful. As far as your CapEx, the $390 million or up to $390 million, how are you thinking about that for 2024, 2025? Just how would you break that out?
Dave McKinstray: Yeah, David. So for the $390 million, we send the prepared remarks. It’ll be approximately $40 million in 2024. Just from a sizing perspective, I’d say that the bulk of the majority will come in 2025, but we’ll give you explicit detail on that exact number as we provide guidance for 2025 in Q1 of 2025. So just again, simple phasing, $40 million this year, the bulk of the remaining in 2025 would then sum into 2026, but we’ll give you more exact numbers as we give guidance next year.
David Palmer: Thank you.
Operator: Our next question today is from the line of Peter Galbo of Bank of America. Please go ahead. Your line is now open.
Gary Pilnick: Good morning, Peter.
Peter Galbo: Hey, guys. Good morning. Hey. Good morning, Gary. Thanks for all the detail on the supply chain. I wanted to dig in a little bit there, maybe with a little bit of a two-part question. First, I think you mentioned maybe expanding some capacity at the remaining facilities. And so, net-net, I guess at the end of 2026, I think the assumption is that there isn’t really an impact to total company sales as a result of the closure. And then secondly, Gary, maybe you can just dimensionalize from a capacity utilization standpoint where things stand today across the five plants, and then at the end of the rationalization here, kind of where you think capacity utilization shakes out across the network?
Gary Pilnick: Thanks, Peter. I appreciate the question. The way we would look at this, when you’re talking about company sales, we are going to be in a good position, a very good position to supply our customers and deliver our targets post-modernization because you have it right. When you think about what we’re doing, I think what you should have in your head is production shifting more than anything else, shifting from our oldest facilities to more efficient facilities and from older, more rigid platforms to newer, more agile ones. So while you do that, that’s why we have confidence that we’ll have the production and capacity we need to drive this business forward. The other thing that we usually consider when we’ve talked about our supply modernization program, we certainly talk about that being the centerpiece of our margin expansion program. It also enables and drives our topline, because it will become a more reliable and resilient supply chain that allows us to be a more reliable partner for our customers and that has an ongoing impact for our business going forward. In terms of utilization and capacity and what you’re describing about the performance of our plants, what we’re already seeing in our organization is improving OEE. We talked a little bit about that in previous quarters. We’ve shown improved service. We’re able to create capacity with the team working through that, reducing waste as well. So, the energy that our team has around the supply chain, driving engagement and building capability, we already see that paying off and giving us good returns. The best part is that engagement is something that keeps delivering as we move forward.
Peter Galbo: Got it. Okay. And then maybe just on the longer term margin target, I think again, the announcement today certainly, I think helps people bridge to the 14% a bit. I think where we still get some pushback is, you have a lot of your peers that are talking about reinvesting their margin upside, at least over the next few years back into price and promo to try and drive volumes. And I think the question is, with your story very much focused on that level of margin expansion, what -- why would it not be the same for you guys that you have to take again, some of that margin upside and reinvest it back into the P&L to try and drive volume? Thanks very much.
Gary Pilnick: Yeah. Peter, I think, I would tell you there’s an and there. So we have a couple of things going here. Number one, you just heard that we’re reinvesting. We increased our investment in the second quarter. We said, we have fuel in the back half as well. And we have our confidence in our ability to grow our margin from 9% to 14% exiting 2026. We even said that’s, that’s not a destination that is a mile marker as we move forward, because that’s simply what we would call the median of our peers. So we think over time, we’ll do even better. But our view is we do have the right amount of fuel in our P&L and you should look at our profit delivery and give it give you even more confidence in our ability to create the flexibility so we could drive into the business. As we like to talk about, we’re always talking about return. So when we’re investing more into our business, we need to make sure that we’re getting the return back. We gave you a couple good examples in the prepared remarks where that’s working well for us. As a maturing organization, we’re going to be able to do that more broadly across our portfolio.
Operator: Our next question today is from the line of Max Gumport of BNP Paribas. Please go ahead. Your line is now open.
Gary Pilnick: Good morning, Max.
Max Gumport: Hey. Thanks for the question. Hey. Thank you. First questions on the cereal category and then you’re tying it with your commentary of the consumer seeking value. I would have thought that maybe in that type of environment, the cereal category could get a bit of a benefit given it is more on that value end of the spectrum. So I’m just curious why you think the cereal category isn’t doing better in the track channel data that we all track? Thanks.
Gary Pilnick: Yeah. The way we would look at it is we think the category is holding up well. It’s a unique environment. I think we would all say it’s a unique environment and this environment is cutting across a variety of categories. But when we stare at the detail, we look at the category TDPs up modestly, displays are up. So in store, holding up well, and the category is actually performing as we would have expected. We talked about our assumptions, our planning assumptions coming into the year. And despite the macro environment, the price volume gap continues to narrow. And then over the first half of the year, it was down a little over a point in the last four weeks, a little bit under a point. So it’s performing where we would expect it to perform from our perspective. In terms of category dynamics, a couple of different things that are happening. You see private label growing, but that growth is moderating. That makes a lot of sense in the context of the value-seeking consumer. An interesting thing about our category, innovation is an important driver to the category. And when a consumer is looking for more certainty, the innovation just is not performing as well as it has in the past. But what’s interesting about that is that means it goes to the core. So that innovation point was about the category and our performance, but where the consumers are going to our core. You look at Frosted Flakes, blue box. You look at Fruit Loops, you look at red box, that’s doing better for us. The thing that we always look at, we say that’s such an interesting thing about our category is bifurcation. Granola doing well in growing, premium doing well in growing, it’s actually up 15%. So that’s an interesting thing for us that actually speaks to the affordability of the category. In any event, Peter, we think that the category is performing as we would have expected and holding up nicely in this environment.
Max Gumport: Great. Really appreciate all that detail. Then on innovation that you just touched on, can you remind me why is there less Special K innovation this year versus last year? I would have thought maybe last year you were busy…
Gary Pilnick: Yeah.
Max Gumport: … organizing the spin, but maybe this year it’s you’re implementing the spin. And then can you remind us how you view the trends of Mouth Off, Extra, and some of the other innovation you’ve talked about for the first half of this year versus your initial expectations? Thanks. I’ll leave it there.
Gary Pilnick: Yeah. I’ll repeat a little bit of what I said, but I understand the question. Innovation in for the category is down. Our innovation performance is down as well. In terms of Special K, that’s just as we were balancing out the portfolio, that was a decision that we made. We’re thinking about what we want to do for next year. Remember that innovation plan was created prior to the spin. Now we move forward after the spin. This will be our first innovation set as an independent company. And when you talked about some of our innovations this year, they’re highly incremental because they’re doing the job of bringing new consumers into the category. What’s interesting about that, when you do that at a time where the consumer is looking for more certainty, that’s actually, there’s a rub. But at the same time, we feel good about the job that it’s doing. We’re going to keep doing that. And some of our innovations recently, like Special K Zero that goes to the high end and adds nutrition to our portfolio, that’s actually doing quite well as well. So we’re looking at the overall innovation while it’s down this year. We think that’s more about the environment than about our plan. And we’re excited about our 2024 plans as well as 2025.
Operator: Great. Thank you. [Operator Instructions] And our next question is from the line of Scott Marks of Jefferies. Please go ahead. Your line is open.
Scott Marks: Hey, good morning.
Gary Pilnick: Good morning, Scott.
Scott Marks: Thanks for the question, guys. Good morning. What do you think you could talk a little bit about cadence of margin expansion through 2026? I know you’re talking about exit rate of 14% leaving the year. Is that just a Q4 expectation and how should we think about it over the next couple of years?
Dave McKinstray: Hey, Scott. Thanks. So as we think about and we’ve not really changed much from this standpoint back when we started talking in August, but I’ll just kind of size it for you. Obviously our guidance implies 3% to 5% growth this year. I’d say as we look forward to 2025, you can kind of expect similar. Now that’s not official guidance. We’ll come back with an official number in Q1, but just from a sizing perspective, probably not all that dissimilar to 2024. 2026, you mentioned it. We were -- we’ve been explicit in saying exit. As we’re exiting the year, we’ll be at 14%, but that’s not a full year number. So as you think about the growth from EBITDA in 2026, it’ll probably be higher than 2025 and 2024, but it’s not going to be the full run rate. You’ll start getting the full run rate in the end of 2026 as we exit and then carry that into 2027.
Scott Marks: Got it. And then just one more, as you kind of step into this CapEx cycle, I’m wondering if you could just speak a little bit to some of the funding requirements, some of the debt. I know you have a drawdown feature on the term loan. I’m just wondering if you could give us a little bit in terms of timing of that and how much of that you expect to lean on?
Dave McKinstray: Yeah. So when we came out, we’ve said that we had a delay draw feature on our term loan arrangement that we have with our partners. And so, as we think about that, we’re going to start drawing on that as we start spending those cash flows. I mentioned the cash flow for this year, negative approximately $50 million for a full year. Because remember, it’s not just a supply chain initiative. It’s also that overall standup initiative that we have going through kind of the first half of 2025. So those two things combined is that we’ll get to about 3 times adjusted EBITDA in early 2026. As we think about that, we have that funded through our current debt arrangements that we have with our lenders. They’ve been lockstep with this understanding the cash needs, where it’s going, how it’s being spent, the returns we’re getting for it. So we have all that funding committed to us and we feel good about that.
Scott Marks: Got it. Thanks very much. I’ll pass it on.
Operator: Our next question today is from the line of Robert Moskow of TD Cowen. Please go ahead. Your line is open.
Gary Pilnick: Good morning, Rob.
Robert Moskow: Hi. Thanks for the question. Good morning. I came on late, so pardon me if someone’s asked this. But can you -- it’s always a tough decision when you have to close a plant. Can you speak to whether these plans have been contemplated as part of your most recent labor agreements? Are there any new labor -- big labor contract renewals coming up? And also, what kind of capacity change does this represent for WK overall? Is it a material reduction or is it kind of a small reduction? Thanks.
Gary Pilnick: Thanks, Rob. Nobody asked that first question, so let me just do a full-throated answer to that one. I think what we would say is, nothing in the plan we just announced, there’s nothing in our arrangements with our union that prevents us from executing these plans. Now, you step back and these are our people. This is an arrangement we entered into with our people. Of course, we’re going to honor the letter and spirit of the agreement. We’ve spoken to our people in the union this morning. But the agreement in place right now gives us the flexibility to execute on the plan that we announced this morning. In terms of contracts, I think maybe what you’re referring to is the master contract that we have with our plants. That expires in October of 2026, so that would be the next date that’s probably quite relevant. I think that’s what you were asking. In terms of capacity, I think what we would say is, we feel like we’re in a very good position to supply our customers and deliver our targets after we modernize our supply chain and actually, of course, during the execution of this project as well. The best way to think about this is we’re shifting production from the oldest facilities to more efficient facilities and also from old platforms that are more rigid to newer, more agile technologies. We feel good that we have the right capacity, the right ability to produce going forward as we execute on this project.
Robert Moskow: Got it. Thanks for the color, Gary.
Gary Pilnick: My pleasure.
Operator: Thank you. And we have no further questions in the queue at this time, so I would now like to hand the call back to Mr. Gary Pilnick for any closing remarks.
Gary Pilnick: Thank you for joining our call today. I hope you can see that we’re on track and executing our strategy, and we look forward to sharing our queue-through results with you in November. Thank you so much for joining us.
Operator: This concludes today’s conference call. Thank you for joining. You may now disconnect your lines.